Unknown Executive: If I may now, I would like to start the TDK Corporation's Fiscal Year March 2023 Full Year Performance Briefing. If I may now, I would like to take time to introduce the participants. We have Noboru Saito, President and CEO. And we have Executive Vice President, Tetsuji Yamanishi. We have executive member, Fumio Sashida; executive member, Taro Ikushima; executive member, Takao Tsutsui. That's all. Thank you again for your kind attention. 
Tetsuji Yamanishi: Thank you indeed for your precious time despite your busy schedule. We are here to go through the full year performance rating for fiscal year March 2023. I'm so happy having so many participants. If I may, now I would like to go through the highlights of the consolidated results.
 First, key points for the earnings. Despite an ongoing recovery of the social and economic activities as well as the production activities and from the expansion of the COVID-19 pandemic in some regions, with the continuing inflation caused by the long-lasting Ukraine crisis and others as well as by the posing interest hike in the U.S. and Europe, the global economy has slowed down. 
 Also, the differences in the interest rates at home and abroad had a major impact on the FX markets, pushing down the value of Japanese yen. 
 Moving into the fourth quarter, again, in such a business environment in the electronic market, which affected our business performance, the demand in the ICT market, in particular, remained sluggish. Actually, the uncertainties actually have gained momentum. So as we just said, we aren't affected by these factors in the industrial market, but still in the ICT market actually the demand has slowed down. And also in HDDs and also the industrial equipment, the demand actually turned out to be rather firm. We were able to secure demand in these areas. Actually revenue grew 14.7% year-on-year and operating profit grew 1.2% year-on-year. 
 We renewed our records, both for net sales and operating profit. 
 In the ICT market, the section of computers and tablet devices were strong during the COVID-19. But actual demand was much lower than we had forecasted, but we expanded ourselves for rechargeable batteries and sensors for new smartphone models.
 In the meantime, investment for data centers declined rapidly, which pushed down ourselves for hard disk drive heads and suspensions gradually. 
 In the automotive market, despite the ongoing supply chain constraints such as semiconductors, we had a gradual recovery as a whole, in particular, thanks to the expanded adoption of xEVs and advancing ADAS, increasing the number of parts to be used, the demand for all the components became firm. Thus, we expanded our sales of passive parts and sensors. 
 The rising geopolitical risks have caused energy and supply instability and price hikes worldwide. Demand for renewable energy, energy-saving appliances and equipment, and energy storage systems for residential homes is continuing to expand. We expanded our sales of medium-sized secondary batteries or rechargeable batteries and the power supplies for industrial equipment. 
 When we announced in the third quarter results, we explained that we expected to allow about, with all these factors in mind, JPY 20 billion for structural reform efforts. Actually, that was the plan we were going to do in the fourth quarter. But we revised further into the future demand as well as the business outlook. We decided to allocate about JPY 46.7 billion (sic) [ JPY 47.7 billion ] for impairment and structural reform. Again, JPY 46.7 billion (sic) [ JPY 47.7 billion ], about, which the extended retirement age resulted in less deficit for retirement benefit, giving us a gain of about JPY 12 billion. Out of this, on health settings, we now allocated JPY 34.7 billion (sic) [ JPY 35.7 billion ] as onetime expense.
 Now I would like to go through the outline of the earnings. The FX change, vis-a-vis the U.S. dollar, et cetera, increased net sales by JPY 68.9 billion or so, and interested operating profit by JPY 68.9 billion or so. Net sales is now JPY 2,180.8 billion, up JPY 278.7 billion, up 14.7% year-on-year. 
 Operating profit became JPY 168.8 billion, up JPY 2.1 billion or up 1.2% year-on-year. 
 Profit before tax became JPY 167.2 billion. Net profit became JPY 114.2 billion. 
 Earnings per share, JPY 301.19. 
 Operating profit, as I mentioned at this point earlier, does include onetime cost of JPY 35.7 billion for the full year basis. And most of the loss related with the onetime costs will not have impact on tax cost reduction. So net profit went down year-on-year. 
 As for the FX sensitivity, no change from the last time. Between the U.S. dollar and Japanese yen, actually the JPY 1 is going to have impact on the JPY 2 billion or so. And between yen and euro, it is going to be about JPY 600 million for the full year basis. 
 Now allow me to explain the full year situation by segment. Net sales for the Passive Components was JPY 575.9 billion, up 13.4% in sales and 24.4% in profit year-on-year. 
 Sales for the automotive market, xEVs in particular, drove the firm sales, and we achieved a great growth, both in revenue and profit. Having a higher ratio in sales of auto and industrial equipment, capacitors, aluminum, film capacitors and inductive devices secured growth both in revenue and profit. 
 And due to the decline in smartphone demand, actually having higher rating in sales of Piezoelectric material products went down in sales and profit. While keeping an eye on the demand trend going forward, we have allocated the expense for structure reform as much as the JPY 300 million in the fourth quarter. 
 Piezoelectric material components and circuit protection components grew in sales, but sales was down on volume basis, resulting in the decline in profit. 
 Next, Sensor Application Products. Net sales have been JPY 169.5 billion, greatly up 29.7% year-on-year. Operating profit, though including onetime cost of JPY 2.5 billion, enjoyed increased sales impact and its profit greatly improved as much as JPY 11 billion. 
 Temperature and pressure sensors. The volume in substance, the decline in auto and home appliance segment. We closed some locations and other structural reform activities cost us as much as JPY 1.3 billion, resulting in the profit. 
 Magnetic sensors. Hall sensors enjoyed sales expansion with new products for auto and smartphones. TMR sensors on top of the firm growth in auto business, smartphone business are expanding its adoption. Magnetic sensors as a whole, we enjoyed a good growth in sales and profit, improving its profitability as well. 
 MEMS sensors [indiscernible] slow demand. The sales in the ICT market came down, but sales for auto and wearable and gaming consoles grew firmly. We have allocated a onetime expense of JPY 1.2 billion, the profit for the MEMS sensors as a whole are recovering. 
 Next, I will touch upon the Magnetic Application Products. Net sales was JPY 200.6 billion, down 19.3% year-on-year. 
 Operating profit, including a onetime cost of JPY 37.9 billion, became a big loss of JPY 56.4 billion. 
 HDD heads and suspension, besides the decline in the demand for the head pieces, we were also affected in nearline HDDs by the economic slowdown and other factors. Investment into data centers declined. With the HDD inventory adjustment, the overall demand for HDDs declined slightly, less than 40% year on year. With this, sales volume of HDD heads and suspension declined rather significantly year-on-year basis, resulting into down in sales. And we ended up with a loss. 
 While assuming it will take some time for us to see recovery in HDD demand for head and suspension as well as suspension application products, we have already allocated onetime costs for impairment as well as structural reform as much as, in the third quarter together, JPY 25.7 billion for the full year basis. 
 As for the magnets, though we grew in sales for  xEVs, but due to the delay in the planned productivity improvement, we could not improve our profit, resulting in the impairment loss of JPY 2.2 billion. 
 Next allow me to move on to the Energy Application Products. Net sales, JPY 1,173.4 billion. Operating profit including the onetime cost of JPY 70 billion became JPY 147.4 billion, up 21.5% in sales and up 19.6% in profit year-on-year. 
 As for rechargeable batteries, sales volume for mobile applications such as smartphones and tablets and bulk pieces in China declined, but this was offset by the increased sales of new smartphone models and sales expansion of medium-sized batteries, mainly for the home use power storage systems. So we grew in sales year-on-year basis. 
 Operating profit, though we were affected by the decline in the profit due to the decline in the sales volume of the small batteries, but thanks to the improved mixture and the overall cost efficiency, including SG&A costs, as well as the improved profit of medium-sized batteries, we secured growth in profit. In addition, we allocated for 9 models JPY 5.2 billion for the dedicated facilities for old models for smartphones in the fourth quarter. 
 Power supplies for industrial equipment grew significantly in sales and profit. But clearly, for the semiconductors and also on the health care sectors, we're able to increase the profit. And also, naturally, we're able to grow the sales. 
 As for power supplies for EVs, we grew in sales rather smoothly, but we allocated an impairment loss of JPY 11.8 billion due to the delay in the cost improvement as well as a decline in the future order forecast caused by the changes in demand trends. 
 Now I would like to explain the factors behind the changes in sales and operating profit by segment from the third quarter to the fourth quarter of the current fiscal year. 
 For Passive Components segment, sales were down by JPY 7.7 billion from the third quarter or down 5.3% in profit. Operating profit down JPY 10.7 billion or down 41% in profit. In addition to a decline in sales in the ICT market, consumers and distributors also declined, resulting in decrease in the overall sales. So we are observing these declines particularly in the smartphone sector. 
 Piezoelectric material and circuit protection components grew in sales and secured profit, but capacity and inductive devices declined in sales and profit due to the declined volume of sales and the fourth quarter seasonality factors. 
 Next, Sensor Application Products. Net sales were JPY 6.7 billion, down 14.6% in sales. Operating profit was down JPY 7.5 billion. Excluding the onetime cost of JPY 2.5 billion we allocated in the fourth quarter, we secured a profit for the fourth quarter as well. Temperature and pressure sensors were flat in sales from the third quarter. Excluding onetime costs of JPY 1.3 billion, operating profit was also flat. 
 Magnetic sensors, both TMR sensors and Hall sensors declined both in sales and profit due to the seasonal factors and for the sales to our large major customers. 
 MEMS sensors or motion sensors were rather firm for automobile business, but business for the Chinese smartphones declined. Microphone sales also declined resulting into down in sales. Including onetime cost of JPY 1.2 billion, we ended up with a loss in profit. 
 Next, Magnetic Application Products segment. Revenue was JPY 4.2 billion or down 8.1% in revenue. Operating profit was negative JPY 26.1 billion, a big expansion in loss. Sales mainly affected by the total demand for the HDDs coming down, particularly in the airline side. HDD head sales volume actually came down from the third quarter by further 7%, pushing down the profit, and also that expanded the impairment. So we ended up with big loss here. 
 Magnets. Due to the delay in improving productivity, the business was down both in sales and profit. Partly due to the effect of the onetime costs, the loss is now expanding. 
 Next, Energy Application Products segment. Net sales was JPY 91.9 billion, down 27.7% in revenue. Operating profit became large loss of JPY 53.1 billion. 
 For rechargeable batteries, there was a seasonal factor pushing down ICT sales. Including the onetime cost of JPY 5.2 billion, the profit was down. 
 Industrial power supplies maintained its strong performance, both in sales and profit. As for power suppliers for EVs, the business was down both in the revenue and profit. Including onetime cost of JPY 11.8 billion, it incurred a large loss. 
 Next as for the analysis for the change in operating profit, JPY 2.1 billion, ups and downs.  HDDs, heads and suspension, and rechargeable batteries had a big loss, as much as JPY 83.4 billion, mainly affected by the ICT. But due to the cheaper yen, Japanese yen, we had a growth of profit as much as JPY 69.2 billion, we were able to absorb to some extent. While sales volume declined, we carried out restructuring effort to reduce some costs, particularly in rechargeable batteries and passive components. We had some positive impact from the last year's structural reform efforts. We also worked on SG&A improvement for efficiency. It produced a growth of JPY 28.2 billion from the previous year. 
 In light of the big change going on in the demand for HDD and heads, we implemented our structural reform initiatives in the fourth quarter following the third quarter. As onetime costs, we allocated JPY 35.7 billion for the full year, up JPY 26.1 billion year-on-year basis. 
 That's all from me. Thank you indeed for your kind attention. 
Noboru Saito: This is Noboru Saito, President and CEO. I do appreciate your precious time. 
 Now I would like to explain our outlook for the fiscal year ending March 2024. First, I would like to explain our consolidated results for FY March 2024. I'll go through the background. 
 In 2022, with the global financial tightened policy as well as the Russia and Ukraine situations as well as the re-expansion of the COVID infections in some regions resulting into a lockdown, the world economy growth became 3.1%. 
 As for the outlook for the 2023 economic growth, in January, it was announced to be 1.7%. But in April, reflecting the economic recovery outlook after COVID, it revised up to 2.0%. 
 But with the continuing Ukraine crisis as well as the rising interest rates and financial instability concerns, the world economy is still expected to remain very uncertain. 
 Against such backdrop, looking at the production volumes in each major product group, automobile is expected to grow. Smartphones are negative from the previous year. PCs and the others are expected to be flat. And the impact coming from the energy price increase is to last going forward. 
 Looking into production volumes of these major new devices as well as the order stations, our full-year sales is now forecast to be JPY 2,020 billion. Operating profit being JPY 190 billion. Profit before tax being JPY 188 billion. Net profit being JPY 147 billion. 
 Next I will touch upon actually JPY 130 vis-a-vis the U.S. dollar and also vis-a-vis euro JPY 142. This has been our assumptions. 
 Next, I will touch upon our production forecast for major devices for TDK. First of all, on automobile, including commercial vehicles, the market size for FY March 2024 to be 88 million units, up 5% year-on-year. 
 EVs and eco cars, which have a big impact on our business performance, are continuing to grow in production going forward. Our assumption for xEVs is up 27% or 21.9 million units. 
 As for the smartphones representing the ICT market, we are assuming for 1.118 billion units, down year-on-year. 
 As for 5G smartphones, our assumption here is 670 million units, slight increase. 
 Actually, in market as a whole, we are looking at minus number of around 5%. 
 As for nearline HDDs and for data centers, we expect its recovery is lower than we had originally expected. Our number here is 60 million units, a slight increase from the previous year. 
 Notebook PCs expect to have a slight increase, but as for tablets, we are assuming it would grow negatively from the previous year. 
 Others. The TSS [indiscernible] system, slight increase, so we're assuming. With outlook for the macro economy being so uncertain, we need to pay more attention to the demand trend for components going forward. 
 Next, we will explain the outlook for expenses. The acquisition of a fixed asset is expected to amount to JPY 260 billion, depreciation and amortization to JPY 185 billion, and R&D expenses to JPY 180 billion. 
 A review of the capital allocation, including the amount of the fixed assets, acquisitions will be explained later. 
 Next, we will explain the cash flow projections. Operating cash flow is on an increasing trend due to improved profitability of the Passive Components business, including MLCCs, and  the Sensor Application product business including TMR sensors as well as improved working capital. 
 Free cash flow for the fiscal year ending March 2023 is expected to be plus JPY 28.4 billion and plus JPY 80 billion for the fiscal year ending March 2024, partly due to a decrease in investment in energy application products. 
 Next, I will explain shareholder returns. In the mid-term business plan, we target a dividend payment ratio of 30%, taking into account changes in the business environment, investment in the growing businesses, LOE and other factors. 
 For the fiscal year ending March 2024, we are expected to pay a dividend of JPY 116, targeting a payout ratio of 30%. 
 Next, I will continue with an explanation of the projected increase, decrease in sales by segment for the fiscal year ending March 2024.
 In the Passive Components segment, we expect a sales growth of 9% to 12% for the segment as a whole due to higher vehicle production and the shift to xEVs as well as increased sales to the industrial equipment market. 
 In the Sensor Application segment, sales growth of 7% to 10% is expected due to increased sales of TMR and Hall magnetic sensors, which are performing well in ICT and automotive applications, and the temperature and pressure sensors, which are expected to grow due to xEV-related demand. 
 In the Magnetic Application Products, one, HDD production volume is expected to be about minus 5% year-on-year, and we expect a recovery in the nearline HDD production for data centers to be less than the initial forecast and resulting in 2% to 5% sales. 
 The Energy Application Products segment is expected to see a decrease in sales due to sluggish demand for smartphones, notebook PCs, tablets. And like a certain level of declining selling prices due to lower raw material prices for rechargeable batteries. And the decrease in the sales due to the transfer of the medium-sized rechargeable battery business for ESS and electric motorcycle applications has led to the JV. The forecast is minus 19% to minus 22% from the previous fiscal year, taking all this into consideration. 
 Next, we will explain the progress of our medium-term business plan called the Value Creation 2023, which is now in the final year. 
 In formulating the current mid-term business plan, we have considered development of businesses other than small rechargeable batteries, which have been a major driver of growth over the past nearly 10 years, and the diversification of revenue sources as major themes and have implemented various measures amidst a rapidly changing environment. 
 Specifically, we have been promoting a growth strategy centered on passive components, mainly for automotive and industrial equipment, sensor applications, mainly for smartphone and in other ICT markets, and the medium-sized rechargeable batteries mainly for household storage batteries and electric motorcycles.
 But viewing the global trend towards realization of a decarbonized society as a growth opportunity, the Passive Components business, mainly for the xEVs, has grown significantly and is becoming the second largest revenue source after rechargeable. 
 In the medium size, the rechargeable battery business is centering on the storage for the home use. Sales increased steadily, and we were able to return to be profitable ahead of schedule. 
 In addition, TMR sensors and MEMS motion sensors have become growth drivers for sensor applications, which had not contribute to profitability in the past. And they have started to make the contributions to the profit by realizing the sales growth as well as the improvement in profits. 
 Among them, we have decided to invest in increasing the production of ceramic capacitors and TMR sensors, in particular, to meet strong demand over the next few years. About this, I will explain in more details later. 
 But we are also considering further investments looking beyond that. In addition to this, to address geopolitical risks, we are investing in India for rechargeable batteries and in the Philippines for passive components, among others. 
 On the other hand, we recognize that the restructuring of a business such as heads and suspensions for HDDs and suspension application products, where the profitability has deteriorated significantly due to the sharp decline in demand for HDDs, is a major challenge for us, and we hope to achieve an improvement in the profitability through structural reforms and other measures. 
 On top of that, energy prices are now rising due to a variety of factors and we would implement rationalization measures to strengthen our earnings structure. 
 Next, we will explain how the capital allocation has changed from the initial plan. In the mid-term business plan, we plan to make a cumulative capital investment of JPY 750 billion over the 3-year period. In addition to the increase of approximately JPY 90 billion due to exchange rate fluctuations, we will make upfront investment in a business that is expected to grow in the future, and at present, we plan to spend JPY 830 billion over a 3-year period. 
 Specifically, investment in energy applications, which was originally expected to be JPY 450 billion, will be significantly reduced to JPY 390 billion in light of the reduced investment burden due to the start of the new JV for medium-sized rechargeable batteries and the current business environment for small rechargeable batteries. 
 On the other hand, we plan to significantly increase the amount of Passive Components such as MLCCs, ceramic capacitors, and inductors. So from JPY 150 billion initially and the initial plan to JPY 210 billion as we expect a strong growth in demand for xEVs, renewable energy and other applications. 
 We also plan to invest JPY 70 billion in TMR sensors, a significant increase from our initial plan, as the demand is expected to increase for use in the smartphones, automobiles and industrial machinery. 
 With improvement of working capital and an increase in cash inflow from the sale of equipment to the midsized rechargeable battery JV, we are aiming for positive free cash flow after return to shareholders, as we aim to achieve, excluding about JPY 110 billion in advances for long-term stable procurement of battery materials. 
 Next, I will explain the progress of our growth strategies for our major businesses. First of all, let me start with the medium-sized rechargeable batteries. 
 As shown here on this slide, we have started operation at the JV's production site in Xiamen, Fujian province in China. We plan to expand the production capacity from the less than 10 gigawatt hour this fiscal year to 32 gigawatt hour by the fiscal year ending March 2027. 
 In terms of the product portfolio, TDK's strength is the touch-type products, while the CATL's strength is the cylindrical rectangular products, and we will aim to expand share in the target markets while making the most of each company's strengths and the synergy. 
 In the energy storage system market, our long-life, high-durability sales and the pack integration technology have already made us a global top class market share in the residential market. And by further enhancing safety and long-life performance, we will expand into small commercial and industrial ESS and UPS. 
 In the electric motorcycle market, we will respond to a wide range of demand with pouch and cylinder types under the strength of our close after-sales service tailored to regional characteristics and the [indiscernible] safety risk management to meet growing demand in Asia and the European markets where future growth is expected. 
 In the power device market, we will maintain the top share and in the market for the high power and the high energy density pouch cells for the drones and aim to further expand our share in the power tool market by adding cylindrical type in addition to the pouch type. 
 By combining the strengths of the 2 companies in terms of production, technology, products and services and the synergy we make, we aim to achieve the #1 global position and achieve a consolidated sales of approximately JPY 500 billion by 2030. 
 Next we will explain our investment in increased production of the Sensor Application Products and Passive Components. 
 Regarding the TMR sensors, first of all, we have decided to invest in that step. Well, in order to make it double the capacity to the production in March 2025 compared to March 2023, we have decided to make investment in summer taking a plant in Saku City in Nagano prefecture. 
 So we expect the demand to continue to increase for the ICT devices, mainly for smartphones, high functional, and in vehicle motor angle sensors for the electric power steering current sensors for the EVs and the industrial equipment applications such as factory automation. 
 On top of that, we are currently considering additional investment to increase production after 2025. We are also planning to start mass production of MLCCs around April 2024, about 5 months ahead of our initial plan, in line with our announcement in May last year.
 For dealing with the growing demand, especially for that high performance and high reliability products of xEV and ADAS application, we are currently considering further investments to increase production after 2025. And parallel with these investments and increased production, we will further strengthen our development capabilities for sensors and passive components to enhance our competitiveness.
 Finally, we would like to explain our ESG initiatives. First of all, and regarding E for environment, we applied for the SBTi certification in September 2022 and did join RE100 in December. Besides, we expect to achieve our 50% renewable energy target for 2025 by 2024, ahead of the schedule. 
 As a specific initiative to serve as a backdrop for this, we have converted 100% of the electricity at our manufacturing sites in Tohoku and Niigata area to be derived from renewable energy sources effective April 1, 2023. 
 In addition, by the end of 2023, we plan to convert 100% of the electricity at all of our manufacturing sites in the other areas in Japan to be derived from renewable energy sources. We will continue our efforts to effectively use energy and expand the use of renewable energy sources towards achieving net zero CO2 emissions by 2050. 
 Next, regarding S. The most important asset for a company is its people, employees, and we are actively promoting initiatives to strengthen our human capital. In the current fiscal year, we conducted a worldwide engagement survey as part of our various measures to improve employee satisfaction. Based on the findings of the survey, we plan to implement various measures to strengthen our human capital. 
 In addition, all of our employees are working daily to improve the quality of all aspects of our product safety and work style.
 Above all, we recognize that the physical and the mental quality of each and every employee is one of the most important management issues. In order to realize this goal, we have established the TDK Health Declaration. In addition, we have joined the Alliance for Health Management, that is an alliance of domestic companies that aims to create a model for health management and complete health solutions, and we hope to contribute to the realization of a sustainable society by enhancing the quality of not only work, but also life. 
 Regarding last G, governance. Our governance policy is empowerment and transparency. And based on these policies, we are actively promoting the delegation of authority to our core subsidiaries and the other operating associated subsidiaries, while establishing the basic rules to be complied with globally as common global rules. The head office and the regional headquarters in Japan, Europe, the U.S., and China have established a complemental relationship, and which the head office functions such as technology development, marketing, legal and finance, support the management of the business units and the regional subsidiaries. 
 Regional headquarters, which traditionally had primarily a business management function, have begun to take on the function of planning growth strategies unique to the region, creating a structure that enables effective, efficient and dynamic decision-making on the front lines. 
 In the short-term, the global macroeconomic environment is expected to be extremely unstable and uncertain that we will strive to increase our corporate value over the medium to long term by steadily implementing each of the growth strategy measures I've explained today and thereby continuing to strengthen our nonfinancial initiatives, too, including ESG initiatives. 
 That's all from me. Thank you very much. Thank you.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]